Operator: Thank you for standing by, and welcome to Shutterstock’s Q1 2023 earnings conference call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question and answer session. To ask a question at that time, please press star-one-one on your telephone. As a reminder, today’s call is being recorded. I would now like to turn the conference over to your host, Chris Suh, Vice President of Investor Relations and Corporate Development. Please go ahead.
Chris Suh: Thanks Valerie. Good morning everyone and thank you for joining us for Shutterstock’s first quarter 2023 earnings call. Joining us today is Paul Hennessy, Shutterstock’s Chief Executive Officer, and Jarrod Yahes, Shutterstock’s Chief Financial Officer.  Please note that some of the information you’ll hear during our discussion today will consist of forward-looking statements, including without limitation the long term effects of investments in our business, the future success and financial impacts of new and existing product offerings, our ability to consummate acquisitions and integrate the businesses we have acquired or may acquire into our existing operations, our future growth, margins and profitability, our long term strategy and our performance targets, including 2023 guidance. Actual results or trends could differ materially from our forecasts. For more information, please refer to today’s press release and the reports we filed with the SEC from time to time, including the risk factors discussed in our most recently filed Form 10-K for discussions of important risk factors that could cause actual results to differ materially from any forward-looking statements we may make on this call. We’ll be discussing certain non-GAAP financial measures today, including adjusted EBITDA and adjusted EBITDA margin, adjusted net income, adjusted net income per diluted share, revenue growth including by distribution channel on a constant currency basis, billings, and free cash flow. Reconciliations of these non-GAAP measures to the most directly comparable GAAP measures can be found in the financial tables included with today’s press release and in our 10-Q. I’d now like to turn the call over to Paul Hennessy, Chief Executive Officer.
Paul Hennessy: Thanks Chris. Good morning everyone and thanks for joining us today. Shutterstock delivered an exceptional first quarter. I’m pleased to report that Shutterstock generated $215 million in revenue, growing 8% year-on-year, well above our expectations. Our EBITDA this quarter was at record levels in terms of both dollars and margin, reflecting strong revenue growth combined with operating leverage and cost discipline. EBITDA grew 27% year-on-year to $70 million for the quarter, representing a 32% margin. Free cash flow was $51 million in the quarter, allowing us to pay down our revolver in full while still maintaining a strong cash balance. Growth in the quarter was led by our enterprise sales channel, which saw 33% revenue growth driven by strength in subscription bookings for content, our data partnerships to help local technology companies train their generative AI models, and momentum at Shutterstock Studios and Editorial. I’d like to spend a few minutes detailing the strength of our core enterprise channel and what is driving our ongoing success and momentum. Subscription bookings grew 20% this quarter and now represent 34% of total bookings, up from 28% a year ago. Our rapid transition to a subscription model is having a positive effect on new business bookings, which is up 20% year-on-year, as well as higher retention with churn declining by 4% year-over-year.  We also have expanded our relationship with large existing accounts, leveraging our Editorial and Studio capabilities where we’ve seen strength specifically in retail, banking, and travel and leisure. Our creative engine, which includes Shutterstock Studios, and our data partnerships are the fastest growing parts of our enterprise channel and are expected to grow in excess of 50% this year. Our ecommerce sales channel experienced similar trends from the fourth quarter, declining by 6% driven by continued weak demand in Europe. We are testing multiple strategies and tactics to improve the performance of this channel, which we see as under-performing relative to potential. We remain cautious on the channel yet are hopeful that some of the top-of-funnel enthusiasm driven by our generative AI offerings will begin to positively impact the business in the quarters ahead. At our investor day back in February, we talked about Shutterstock’s content engine and how our creative engine and data engine accelerated. To briefly refresh everyone’s memories, our content engine represents the main core of our business. It drives most of the revenue today and is powered by one of the industry’s largest content libraries, including 615 million images, 47 million videos, 4 million music tracks and sound effects, and 1.2 million 3D models. Our creative engine, which includes Creative Flow and Studios, allows us to expand our customer relationships by offering the powerful combination of content, creative editing tools and production services, and the rich meta data embedded in our content library has been the basis for our data engine, which has allowed us to unlock new verticals, products and capabilities for our customers. Across a variety of metrics and data points, for example customer engagement with our generative AI offering and our expanding pipeline of data partnerships, we’re seeing signals that the investments we’re making across our creative engine and our data engines are yielding tangible dividends. This is especially the case in our enterprise sales channel, where our value proposition for enterprise customers is rapidly evolving from being a scaled content provider across multiple content pipes to comprise more work flow tools, data training sets, and AI-enabled services.  Today, I want to take the opportunity to provide some recent examples of how these three engines are interconnected and how growth in one engine accelerates growth in the others. To that end, I’ll be mapping out how these various engines relate to: one, our initiatives in generative AI and some of the strong top-of-funnel interest we’re seeing; two, our recently announced partnerships with Nvidia; and three, the continued momentum of our data partnerships.  We are aggressively investing in bringing generative AI to our customers. After launching our AI image generation platform in partnership with OpenAI in January, we had last reported that users had created 3 million assets in the two weeks immediately following the launch. From the three months since inception, almost 1 million users have created more than 20 million assets on our platform. To put that in context, Shutterstock averaged 10 million new images every quarter since 2020, and so the pace thus far in generative images created far exceeds the growth we’ve seen historically in our content engine.  Although it’s too early to provide any definitive statements on generative AI’s revenue potential, I’m excited to report some early indicators that speak to high engagement and the exciting potential of this new technology across the entire user journey.  First, our generative AI offering has been generating traffic at the top of the funnel with our image generator tool driving creation of approximately 10,000 new accounts every single day. Now, many of these new accounts are experimenting for the first time in engaging with the tools and technology and are trying to better understand what we have to offer with little purchase intent or monetization potential. However, we believe that many of these new accounts also represent potential new customers who have never been paying customers of Shutterstock in the past. In addition, we’re finding that our investment in paid media is being supplemented by robust levels of earned media. So far, we’ve benefited from millions of media impressions and over 100 news articles that have driven additional top-of-funnel traffic.  Secondly, when those new users get in the door, they’re really engaging with the tools and deriving value from them. Furthermore, as we’ve rolled out additional features, such as the ability to zoom out and create variations, we’ve seen an increase in the average number of images generated per user, as well as our improved conversion rates with one of the new features increasing conversion rates by 2.5 times. Lastly, I’m happy to report that customers can now search our growing library of AI-generated images which are available for purchase. We’re already seeing a small but growing cohort of users jumping into this part of the library, where they can find visuals that go beyond the bounds of what our core library offers. In addition to our investments in generative AI for images, we recently announced the partnership with NVIDIA to bring to market generative 3D capabilities. We believe this will lower the cost of 3D model production and expand use cases, including the creation of low cost digital twins that replicate products found in the physical world. This partnership is particularly exciting because it spans the full 3D life cycle, consisting of 3D model production, model monetization, and last mile model customization. Shutterstock is ideally positioned as a partner to NVIDIA and we will bring our unique assets to bear, including meta data from our data engine which will train NVIDIA’s text to 3D model, as well as our TurboSquid marketplace which will allow creators to monetize their generative 3D models for use across 3D’s many use cases, including NVIDIA’s omniverse and other metaverse environments.  In addition to the major investments we’re making in developing and delivering generative AI for our customers, we continue to be highly encouraged by our pipeline of data partnerships to help large tech companies train their models to develop their own generative AI products and solutions. The need to use meta data for generative AI model training is expanding, and we are seeing new companies invest with urgency to build commercializable products within their core area of focus. We are also seeing our pipeline expand for existing customers across multiple asset types: customers who started with images looking at video, and customers looking at music and 3D content for model training. The use cases for training data are also expanding and we are seeing opportunities that are increasingly industry-specific and for specific commercial products. This quarter, we’re excited to report that we signed two data partnerships. We significantly expanded and renewed for a six-year term an existing data partnership when their needs expanded beyond image and into multiple other asset types, such as video, 3D and music. We’re also establishing a new five-year relationship with a leading social media platform. As we convert our pipeline into opportunities, we are seeing total contract value more consistently becoming high seven figure and eight figure deals. Strategically, we’re targeting multi-year, multi-faceted partnerships that feature recurring quarterly meta data refreshes along with co-investment in technology to align incentives. These typically would also include content licensing and creative services as part of the overall future strategic road map.  We are starting to see consistency in the pattern of land-and-expand across deals that speaks to how our growth engines are interconnected, and I wanted to provide some examples. The first is an example where we led with a data partnership largely around image model training data. That evolved, where we integrated the tools of our data partner into our core offering to grow revenues and provide new creatives to our customers. Over time, the needs of our partner grew and expanded into other content.  Another example is where we have a longstanding content relationship with a partner for a large technology platform. We have leveraged our API to provide them content for the years. We then expanded this relationship to include higher end studio work, which we recently further expanded into a data partnership focused on providing data training sets for their AI applications. For both of the clients mentioned, our end-to-end creative platform has enabled a much more strategic relationship with clients, where we can deliver value across business lines. As I noted at our investor day, whether you’re an individual creator, small business or a Fortune 500 company, Shutterstock has the content, the creative tools and the data to power your business. To fulfill this vision, we have completely re-thought the way Shutterstock goes to market, leveraging our creative and data engines to aggressively transform our business in this dynamic and exciting content landscape. Our journey as an end-to-end creative platform is full steam ahead. With that, I’ll now hand the call over to Jarrod to discuss our financial performance and our guidance. Jarrod?
Jarrod Yahes: Thank you Paul, and good morning everyone.  Revenue growth was 8% for the first quarter, or 10% on a constant currency basis, exceeding our expectations. Our headline growth rate was strong and powered by our core enterprise channel, which had its best quarter ever. Enterprise revenue was up 33% in the first quarter and 35% on a constant currency basis, an improvement from the fourth quarter which was itself a record quarter.  Paul provided many of the key details on growth we are experiencing in bookings, subscription products and improved retention, as well as the multiple business lines that are experiencing accelerated growth, such as Studios and data partnerships. Consistent with last quarter, ecommerce revenue was down 6% on a reported basis. Our ecommerce channel saw continued weakness in Europe and a slowdown in the rest of the world. The weakness in our ecommerce channel directly impacts subscriber count, which was down sequentially; however, our subscriber revenues continue to grow due to momentum in our enterprise subscription products, where the count of subscribers is low but the ARPU is high. Turning to our income statement for the first quarter, gross margins excluding depreciation and amortization were flat. Reported gross margins declined by 143 basis points driven by higher M&A and cap labor amortization. Sales and marketing expenses in the first quarter was 22% of revenue compared to 27% in the first quarter of 2022. The decrease was driven by lower performance marketing spend as we have reallocated certain marketing spend to the channels with the greatest effectiveness. We also had several million dollars of linear television spend from an earlier campaign in the first quarter of 2022 that did not take place in the first quarter this year. Product development was 7% of revenue, flat with the first quarter of 2022, reflecting continued investment in our product offering and integration of our acquisitions. G&A expenses were 16% of revenue compared to 15% in the first quarter of 2022, driven by increased staff and severance costs. Excluding severance, G&A was flat as a percentage of revenue compared to the first quarter of 2022. We grew adjusted EBITDA by 27% to a record $69.8 million in the quarter. Our adjusted EBITDA margins were up 490 basis points to 32.4%, driven by revenue growth and associated operating leverage combined with prudent cost management.  Turning to our balance sheet, we had $96 million of cash at the end of the quarter and exhibited strong free cash flow of $51 million, which included our payment of our annual performance bonus during the quarter. During the quarter, we also fully repaid the $50 million we had drawn on our revolver. Our deferred revenue balance was $181 million, down from $187 million last quarter primarily due to the softness in ecommerce discussed earlier. During the quarter, we paid out $10 million of dividends, which we recently increased to $0.27 per share as announced in January. As is typical in the first quarter, we also paid $11 million related to taxes on the vesting of equity awards, which were issued on a withhold to cover basis, further eliminating share count creep. Cash outflows also included $16 million of CapEx and content acquisitions.  For the full year, we are raising our 2023 guidance to 2% to 3% revenue growth and 50 to 75 basis points of year-over-year EBITDA margin expansion. We significantly exceeded our own expectations this quarter, allowing us to bring up the bottom of the range with respect to revenues and be above the high end of the previous range with respect to margin. We anticipate that 2023 will be Shutterstock’s fourth consecutive year of expanding our margin profile. As we highlighted in our last earnings call, we expect revenue growth to be first half loaded, and we will remain cautious from a forecast perspective until we begin to see improvements in our ecommerce demand.  In closing, we’re extremely pleased with the quarter and in particular the strength of our core enterprise channel. We are establishing new data partnerships with some of the largest companies in the world and expanding existing ones while renewing multi-year commitments. We’ve driven higher engagement to the top of the funnel as a result of our generative AI offering, and we have evolved our value proposition to customers as an end-to-end creative platform comprising content, work flow tools, data training sets, and AI-enabled services. Shutterstock is an extremely exciting place to be right now as we position ourselves to benefit from the extraordinary technology innovations that are taking place all around us. With that, Operator, we’d like to open the line for any questions.
Operator: [Operator instructions] Our first question comes from the line of Lauren Schenk of Morgan Stanley. Your line is open.
Lauren Schenk: Great, thank you. Thanks for all the detail on the computer vision side.  You mentioned an expanded pipeline of potential partners. Just wondering if there is any quantification you could put around that in terms of the number of companies that you have in your pipeline, versus I think you had mentioned 20-plus with us last quarter. Thank you.
Paul Hennessy: Hey Lauren, it’s Paul. We’re not commenting on the specific number of deal flow coming in, or in the pipeline. But what I’ll tell you is, and I mentioned in my prepared remarks, there seems to be a growing behavior and pattern of both the very large companies in the world and then the next size down, of people leaning into build their own models, and so we see a consistent pipeline build around AI and data training that’s showing up both in our performance, and we’re encouraged by what we’re seeing in the market.
Lauren Schenk: Okay, great, and then maybe just on the contract size, I know you gave some ranges on the number figures, but if we just sort of compared to last quarter, maybe even six or nine months ago, are you seeing absolute contract sizes increase kind of across the board, or does it really depend on the size of partner?
Paul Hennessy: Well, you’ve answered your question. It certainly depends on the size of partner, but we’ve seen that number grow, and then as you might imagine, as we get more pervasive across companies, we don’t expect that number to grow but right now, we’re very pleased with the size of the deals and, more importantly, the length of time of the relationships and how these relationships are actually turning into bigger, broader strategic relationships leveraging all of the things that Shutterstock has to offer.  Don’t think about this just as the impact of the data deals, but more of the alignment and helping businesses even beyond their own creative needs into solving other business solutions for them.
Lauren Schenk: Okay, and then just one more last one, and then I’ll hop back into the queue. Just on the partner that renewed after the expiration, is the scope of that contract and the data that they’re looking for similar to what they had originally signed up for, or are they sort of expanding the data sets and maybe the use case as well? Thanks so much.
Paul Hennessy: No, that’s actually one of the things we’re most excited about - they’re coming back for more. They’re using the full spectrum of what Shutterstock has to offer in both content types, and again we continue to lean in on alignment between our businesses as well as technical exploration of things that we can build together. Again, we’re encouraged that what often starts in one area expands into the next. We think that adds real stability to the business but also enhances the relationship.
Lauren Schenk: Wonderful, thank you so much.
Paul Hennessy: Thank you.
Operator: Thank you. One moment, please. Our next question comes from the line of Bernie McTernan of Needham. Your line is open.
Bernie McTernan: Great, good morning. Thank you for taking the questions. Maybe to start, Paul, you mentioned 50% growth expected for this year in Studios and Computer Vision. Can you provide any context of what that base number was in 2022, and then also does it assume any incremental Computer Vision deals that haven’t been signed yet?
Jarrod Yahes: Bernie, this is Jarrod. Let me just give a little bit of color on that. We’re not breaking out the exact composition of our enterprise growth, but suffice it to say we are seeing very strong growth both in our data partnerships and our Studios businesses, and I’d call that growth quite accelerated. Fifty percent-type growth is quite strong. We have in the past talked about the magnitude of those businesses. When they’re approaching 10% of revenue, we’ll start to sort of break them out for folks and give a little bit more color, but I think for us, what gives us encouragement is not only are these data partnerships getting longer term in nature, so the two we announced today are a five-year deal and a six-year deal, they’re becoming much more all-encompassing. These are typically also including content relationships, services relationships, and they’re being discussed and negotiated and entered into at much more senior executive levels within our client organization, so we’re effectively moving out of selling into solely the marketing organization and moving into selling into both the marketing organization and the products and technology organization because of the strategic nature of these types of engagements. I think we find that particularly exciting. On enterprise, there’s a lot going well. Paul mentioned 20% growth in overall bookings, growth even faster than that in subscription bookings, reductions in churn and improvements in customer retention, so all the oars seem to be in the water in enterprise with some of those oars pushing the boat really, really fast, and the end result is what you see in the reported numbers.
Bernie McTernan: Understood. Then maybe just one other follow-up on Computer Vision deals. A key investor question we get, and I know it’s really hard to answer right now, is just how many companies are going to need their own AI generative models, and I think it’s moved from if it’s just foundational companies like OpenAI need them to, as you mentioned in your prepared remarks, now company-specific models, which is really interesting. Would love just to get maybe some context in terms of how your thinking on the subject has evolved over time and how you think it could play out. I know it’s a really tough question, but would just love any thoughts that you had.
Jarrod Yahes: Bernie, Paul mentioned some of this in his remarks and response to the previous question, but there is definitely a broadening out of the desire for companies to own the intellectual property associated with generative AI, so if you read some of the headlines around Bloomberg looking at chat capabilities, if you read some of the headlines that have come out from NVIDIA about companies that are working closely with them to train their own proprietary models, you quickly come to the conclusion, and we’re increasingly of the conviction that companies are going to want to own this IP and they’re not going to be solely reliant on a small cadre of global technology leaders to provide it to them, and that really plays to our strength and plays to the depth that this TAM could have on a go-forward basis.  It is all still work in progress, so no one is quite sure how this is going to play itself out, but it really does seem like each company wants to own the IP and control their own destiny with respect to generative AI in a way that I don’t think people quite understood even several months ago.
Bernie McTernan: Understood, and then just last from me, big beat on EBITDA in 1Q and the flow-through for the full year guide was less. Do we maybe just have the seasonality wrong, or anything we should be thinking about on the cost side of the business? I know you called out some shifts in marketing expense, but anything we should be thinking about the cost side in the remainder of the year?
Jarrod Yahes: The only thing I’d call out, Bernie, is number one, you’re aware of how at the gross margin level, our gross margin adjusts annually based on the structure of our contributor royalty payouts, and so that typically creates a slightly better gross margin at the beginning of the year that slightly declines as the year moves on, so that’s one thing to keep in mind. The other piece is sales and marketing. We’re keeping sales and marketing, the vast majority of that spend is really around performance media and ecommerce, and so as our ecommerce business is weak, we are adjusting performance marketing consequently. We’re not going to spend increasing percentages of sales and marketing spend in a business that is slightly lower, and so we haven’t done anything with sales and marketing to improve the margin but we’re also keeping it consistent.  We feel great about the margin profile of the business. Obviously to be able to raise your margin guidance in the first quarter means that you believe you strongly have the ability to operate the business in a highly profitable manner, so we feel great about that and our ability to continue to drive margin expansion, which we’ve done for the past several years now.
Bernie McTernan: Great. Thanks Jarrod, thanks Paul.
Paul Hennessy: Thank you.
Operator: Thank you. One moment please. Our next question comes from the line of Youssef Squali of Truist. Your line is open.
Youssef Squali: Great, thank you. Good morning guys.  Jarrod, can you maybe quantify the organic growth ex Pond5, so versus that 10% FX neutral number that you gave in the release, what was the organic number, since I think Pond5 was acquired in May of last year?  Then I know you’re not quantifying the revenue contribution from all these partnerships, but if you strip out the revenue from the partnerships and if you strip out maybe the contributions from Studios, what was the--was there any weakness in the enterprise segment from just the macro headwinds that we all know about?
Jarrod Yahes: Sure Youssef. You know, look - rather than sort of stripping apart the business in that way, let me just give you some baseline figures that may help. I think number one, with respect to Pond5, we talked about that business contributing roughly $11 million, $12 million a quarter when we acquired the business, and so there has been some growth in the business but that’s the approximate quarterly contribution of the business. You know the acquisition date, so you can think about what the contribution of that is on a more specific basis. In enterprise, and I think we really tried to reinforce this, the business regardless of whether you think about the Studios piece in or out, regardless of whether you think about the data partnerships being a strong contributor, the business is quite healthy. I don’t think there’s any other way to sort of cut it. When you talk about overall bookings growth of 20% and subscription bookings growth in excess of that, it just--it feels really good, and it is a continuation of the strategy that we embarked on a couples years ago which is leading to our success, which is cross-selling into multiple content types, so expanding image relationships into video and music. It is also enhancing that service offering and solidifying that service offering with services, and so whether it be our Studios offering, whether it be asset assurance, whether it be providing data partnerships, there is a culture of cross-sell, up-sell and value delivery to customers that is resounding in the market and working for us, and so we feel quite good about our core enterprise channel, and look, clearly as a result, it’s becoming a larger and larger part of our business. You could see a day where this is the majority of our business if this trajectory continues in a relatively short period of time.
Youssef Squali: Super helpful. Thanks, Jarrod, for that. I guess one last question for me on ecommerce. Europe is not doing that well, rest of world is slowing down. What’s the game plan? Is it a product issue or is it really just a market environment kind of issue, and how are you guys planning on addressing it or how are you addressing it?
Paul Hennessy: Yes, you know, we’re on the case. We’ve been watching this for the better part of a year on the decline, and we believe the vast majority of that decline is related to the macro environment. We think we’ve got the right products, we think we’ve got the right pricing, but we’re committed to, I’d say, experimentation at scale so that we understand in this new market what our customers need, what their buying behaviors are, how they want to engage and the amount that they want to consume, even the way that they engage and download. All of those things are on the table for us to evaluate, as well as any of the implications of generative AI and what it will do for the ecommerce channel. We’re watching this very closely, we’re putting a lot of experiments in front of customers to understand exactly what their needs are, but we believe the fundamental cause is much more macro than an omission of products or something that Shutterstock doesn’t have quite right.
Youssef Squali: Great, thanks Paul. Congrats.
Paul Hennessy: Thank you.
Operator: Thank you. One moment please. Your next question comes from the line of Andrew Boone of JMP Securities. Your line is open.
Andrew Boone: Good morning, and thanks for taking my questions. I want to go back to Youssef’s last question on ecomm. Since generative AI is now just more widely spread, can you guys talk about ecommerce from kind of a top-of-funnel? Are you guys seeing any change in terms of the traffic that’s coming to the website, is there a change in conversion? Can you help just break down what you guys are seeing on the ecommerce front as there is just more availability in terms of being able to create images?
Paul Hennessy: Yes. As I mentioned in my opening remarks, we are just seeing an absolute surge in customers coming to engage in this new product and content type, and so the demand is high for creating images, and they are. You heard some of the, I think staggering data - not only are we seeing images created but we’re seeing accounts created. But I also mentioned that a big chunk of those, we believe are probably not likely to monetize. Call it half of the amount of traffic that’s coming in, in these early days are experimenting, they’re seeing what they can create. They’re understanding what this product is and how it might serve them. But when you have this level of new traffic, new accounts being created, customers on our website creating - literally creating - on our platform, we’re very optimistic that we’re going to figure out how to leverage this into either an important content management tool for them, you know, giving them the ability to edit images, create images, modify images. We really see that--think of this as expanding on our creative tool set and creative flow, and we believe that there’s going to be a market where customers need, want and purchase the content that they create. What I don’t believe today is that our business is suffering in any way from the world suddenly creating these images off of the Shutterstock platform and using them in their advertising and in their creative needs, and we’re not getting that share of the market. We just simply don’t see that, and we believe most of the deficiency in ecommerce today is much more macro driven than AI generative image creation driven. But make no mistake, we understand the power of this, and we’re leaning in to make sure that we get it right for our customers - that spans pricing, productization of generative, and even in the way our customers engage with it, so we’re on the case, and that, by the way, fits very well with our strategy of getting out first, being the leader in this space, and learning from our customers so that we can give them exactly what they need and want.
Andrew Boone: That makes sense. Paul, I think you mentioned earlier the acceleration that you’re seeing in Studios. Can you talk a little bit more broadly about the success you’re seeing outside of data partnerships within enterprise? Is there any reason to think that this can--can you just talk about the momentum there and how you guys are continuing to drive that side of the business?
Paul Hennessy: Sure. Shutterstock suffered from, like, a wonderful problem - we were known as an image stock provider. What large companies are learning now is we do a whole lot more, and as you do a whole lot more, we move from hey, here’s some content that you can use in your creative to an aligned creative platform that can service multiple needs of the business. Studios is just one of those opportunities. We’ve talked a lot about data, and you can imagine with a level of innovation that Shutterstock brings to any business and the amount of content that we bring, we’re rolling up our sleeves and creating bespoke work on a variety of levels, and then that creates new work because those organizations within a company say hey, we want some of that too, we think we can leverage Shutterstock’s creative platform to grow our business, but then you see it across companies as well. You get this both share of wallet phenomenon but also share of market, and that’s the beauty of having a full creative platform rather than just being a stock photo image provider.
Andrew Boone: Then I’ll try three as well - Jarrod, this is probably more for you. The high end of the revenue guide for ’23 didn’t really change. Is that just conservative? Is there any way to think about what is a beat, at least on our numbers, for 1Q than not flowing through to the top end of the guide for the rest of the year? Thanks so much, guys, appreciate the help here.
Jarrod Yahes: Sure Andrew. With respect to the revenues, our view is we have a part of our business that is not performing to its full potential. There’s a lot of work in progress to try and enhance that performance, and as and when we start to see either macro demand changes in various geos that are moving in the right direction consistently month on month, or when we start to see real monetization that’s flowing through from some of our generative efforts, I think that will give us confidence. We’ll see that in some of the ecommerce numbers, and I think that will be probably the trigger for us re-evaluating the revenue guidance. On the data partnership side, we couldn’t be any more pleased with how the pipeline’s been evolving and sort of how we’ve been performing this year. I think we are very disciplined with respect to the deals that we’re entering into. Rather than having a pure merchant mentality, I think we’re approaching these with a pure strategic mentality. We’re being disciplined on price and we realize that we have something that is extremely valuable in the market today, and we’re pairing that with our other service offerings to deliver holistic solutions for clients, so we’re not looking at these as one-offs for data. We’re looking at these as comprehensive engagements that include content, data, services and solutions for our customers. I think to the extent we continue to execute in the way we have, with some of the two partnerships we signed this quarter plus the NVIDIA engagement, which we’re quite excited about although it’s not going to have a significant impact on revenue this year, those would be the catalysts for making a change to the revenue guidance at the top end of the range.
Andrew Boone: Thank you.
Operator: Thank you. Again ladies and gentlemen, if you’d like to ask a question, please press star-one-one on your telephone. Again, to ask a question, please press star-one-one. One moment, please. Our next question comes from the line of Nick Delfas of Redburn. Your line is open.
Nick Delfas: Thanks very much. I’ve only got one question remaining that hasn’t been answered, which is just on the gross margin. If we look at the graph of your gross margin over time, it was a little bit weaker in ’22 and then obviously bounced in Q1, and you mentioned, Jarrod, that there was some resets that occur. But more broadly, are there any impacts on gross margin that we should be thinking about from AI or in general from how you’re paying your contributors that could lead to levels change upwards or downwards over the next few years? Thanks very much. 
Jarrod Yahes: Nick, thanks so much for your question, appreciate it. On the gross margin side, you’re correct vis-à-vis the royalty reset that happens in the first quarter, so that’s a normal trajectory that we see over the course of the year. As we think about our business mix and as we think about out Studios business and as we think about some of the data partnerships we’re entering into, we’ve said this publicly in the past, but we are paying out our contributors a royalty rate that is effectively equivalent to the royalty rate that we’re paying on our core content business. We think it’s the right thing to do, so the gross margins that we’re seeing on our data partnerships are consistent with the gross margins in Shutterstock overall, and so that cost of goods sold, the single largest component of that are the royalties that we’re paying to our contributors. As you think about our business on a go-forward basis and you think about the changes to gross margin, the only piece that could change is to the extent that there is more software that is included in the service offering, and so if you think about things like our Creative Flow platform, our creative flow platform is really based on software tools, and software doesn’t have cost of goods sold and royalties in the same way that a content offering has. To the extent we see success in a pure tool first offering, you would see enhancements to our gross margin and an upward trajectory to our gross margin in the years to come.
Nick Delfas: Thanks very much indeed.
Paul Hennessy: Thanks for joining, Nick.
Operator: Thank you. One moment please. Our next question comes from the line of Nat Schindler of Bank of America. Your line is open.
Nat Schindler: I think that was me, because I heard America. Was that Nat Schindler?
Operator: Yes sir. Your line is open.
Nat Schindler: Okay, sorry. There was a blank in the call right there when you said my name. Quickly, wanted to ask how people are really using the AI. People that are using the AI, from what you can tell, that are using it actually for commercial purposes as opposed to just playing and creating, of those that are using it for commercial purposes, are they using it to create images from whole cloth or do you see it being used more as kind of an easy to use Photoshop, editing and changing things that already exist?
Paul Hennessy: Yes, I’ll take that one, Nat. First of all, it’s still early days. We’re starting to assess what is initial behavior versus what is a behavior pattern, and again it’s very early. But here’s what we’re seeing - we’re seeing it all. There are those customers that are just coming in and saying, AI is on everybody’s lips, let me check it out, and Shutterstock is an outstanding place to come check that out because they can not only produce the images with a really high quality image creator, but they can also manipulate that content, just like they’re used to doing here at Shutterstock.  So do I believe over time that AI generative images become the ultimate tool replacement? I think so. I think that people using their words to create content rather than other products to manipulate content makes a lot of sense to us, and we suspect that to be the case going forward. But again, it’s early days, and what are customers are now able to use is ultimately what we’re creating for them, so I’m sure customers have advanced demands and use cases that we have not yet discovered, but we’ve positioned our company to have a front-row seat for that and we’re unveiling those products and services moment to moment, month to month as we see what the signals are from the customers on what they need next. But we’re seeing the gamut here, and it’s, as you saw, high engagement at 10,000 accounts created every single day and the absolute tonnage of content creation - you know, it’s larger than our core content business, so we’re excited.
Nat Schindler: Great, thank you. 
Operator: Thank you. I’m showing no further questions at this time. I’d like to turn the call back over to Paul Hennessy for any closing remarks.
Paul Hennessy: Great. We just want to express our gratitude to our customers, our contributors and our employees, and for those of you on the call, thanks for joining us. That ends our call for today. Thank you.
Operator: Thank you. Ladies and gentlemen, this does conclude today’s conference. Thank you all for participating. You may now disconnect. Have a great day.